Operator: Welcome to the Matrix Service Company first quarter 2009 earnings results. (Operator Instructions) It is now my pleasure to introduce your host, Truc Nguyen, Investor Relations for Matrix Service Company.
Truc Nguyen: I would now like to take a moment to read the following: Various remarks that the company may make about future expectations, plans and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors including those discussed in our Annual Report on Form 10-K for our last fiscal year and in subsequent filings made by the company with the SEC. In addition, some of our comments today include non-GAAP financial measures. I encourage you to refer to the reconciliation of GAAP to non-GAAP financial results that is posted on our website and is included in our earnings release. Matrix Service has provided the necessary reconciliation in our press release to disclose a non-GAAP financial measure in this conference call. EBITDA is provided as we believe the financial and investment communities utilize this metric to assess our performance and evaluate the market value of companies considered to be in businesses similar to ours. I will now turn the call over to Michael Bradley, President and CEO of Matrix Service Company.
Michael Bradley: We really appreciate all of you joining us this morning and on the conference call today we also have Tom Long, our Chief Financial Officer. Before I turn the call over to Tom to discuss the financial details I would like to cover the following topics. First, our overall business performance during the first quarter fiscal 2009. Second, the acquisition of certain engineering and construction assets from CB&I. Third, hurricane Ike and its impact on our Gulf Coast office and activities. Fourth, the backlog. Fifth, the outlook for Matrix Service. To begin with I am very pleased to report that Matrix Service maintained the positive momentum of the fourth quarter fiscal 2008 into fiscal 2009, executing our business plan exceptionally well and achieving record operating income and fully diluted earnings per share. Revenues increased by $25.4 million or 15.7% in the first quarter of fiscal 2009 to $186.7 million as compared to $161.3 million in the same quarter of fiscal 2008. Operating income was $14.6 million, up from $10.9 million last year. On a consolidated basis we achieved gross margin of 14.3% with construction services margins of 13.1% and repair and maintenance services margins of 16.2%. The net income for the first quarter of fiscal 2009 was $9.5 million or $0.36 per fully diluted share, up from net income of $6.3 million or $0.23 per fully diluted share in the same quarter of fiscal 2008. As we expected, SG&A costs increased to $12.1 million in our first quarter as compared to $8 million in the first quarter of last year. We are executing our strategy to grow and diversify, which requires that we add talent and infrastructure to our organization. We are pleased to say we have been successful, which enables us to expand our operations geographically, increase the scale and sophistication of project types and continue our ability to evaluate acquisition opportunities that support our growth strategy going forward. Regarding our CB&I acquisition, we recently announced an agreement to acquire certain engineering and construction resources from CB&I. This acquisition is for the technology used to design, engineer and the construction of single and full containment LNG storage tanks, LIN/LOX storage tanks, LPG storage tanks and thermal vacuum chambers. The acquisition includes construction tools and equipment along with 70 engineering and construction personnel who are located and will remain in the northeast region of the country. In addition, the backlog consisting of cost plus contracts with a contract value up to $20 million for this specialized work was included in the transaction. We expect to close on this transaction in the second quarter of fiscal 2009 subject to approval from the Federal Trade Commission. We view this as a great opportunity for Matrix Service to acquire technical capability and assets with very little risk but significant upside potential for the company. This is a low-cost opportunity which enabled us to add engineering personnel and capabilities as well as additional construction crews that specialize in steel plate structures, electrical instrumentation and process design. This is all we can share on this potential acquisition at this point. We will provide more detail as we get closer to closing. Next I want to provide an update on our Gulf Coast operations relative to the recent hurricane. Importantly, all of our employees are safe. We experienced minimal damage to our Houston and Gulf Coast facilities and we quickly resumed normal operations. We are now focused on continuing our Gulf Coast growth strategy and with helping our customers in the region get their facilities back to full operating capacity. We expect to pick up repair and maintenance work as the result of the hurricane damage but projects that were in process at the time of the hurricanes may be delayed. So we don’t expect to see any significant impact to our fiscal 2009 results. Now I would like to discuss our backlog. Our backlog represents a significant portion of the work that we have under contract. The backlog balance that we report is one measure of future revenue potential for our company but there are significant factors that need to be considered relative to our business model. First of all we report only 12 months of estimated revenues on our multi-year maintenance contracts in backlog. Second, our backlog excludes emergency and call out work which can be significant in any given period. Third, the period of time between the award of work and the completion of a project primarily in our repair and maintenance services segment can be of short duration. This may cause the award and completion of the project to occur in the same quarter. We were awarded approximately $178 million of new backlog during the quarter and our backlog was $459 million as of August 31, 2008. Our focus has been and our results demonstrate our efforts to improve the quality and profitability of our backlog while executing on our diversification and growth strategy. We have expanded our sales and business development efforts and as a result our prospects for additional work are strong as we are currently tracking well over $1 billion of projects which has been growing and our opportunity list includes a broader range of markets, customers and project types. We see significant opportunities in our traditional AST and downstream petroleum markets as well as promising projects in other markets such as high voltage substations, industrial gas, material handling, air quality control retrofits and other capital construction projects across the energy spectrum. In summary, we are very encouraged by the opportunities we are pursuing and expect our future backlog to grow. Finally, I would like to discuss the outlook for Matrix Service. Our strategy is to continue to grow and diversify our business. As we stated before we have three elements to our growth and diversification strategy. First is to improve the efficiency and operating performance of our existing business. In that regard we have been expanding our safety training, adding significant talent to the organization, expanding our business development capabilities, standardizing processes, estimating and project control tools and adding capabilities and efficiencies to our fabrication facility. Second is to capture opportunities to grow organically by expanding geographically and leveraging our capabilities to expand into new industries, customers and providing an expanded portfolio of services. Relative to this our recent focus areas have been expanding operations in western Canada and the Gulf Coast, acquiring an “N” stamp which is essential to positioning our company for the nuclear market, expanding turnaround services geographically and most recently in the Gulf Coast, evaluating opportunities to expand our business internationally and expanding our high voltage substation construction business throughout the northeast corridor of the United States. Finally, we continue to selectively look at accretive acquisition opportunities to expand our capabilities for business and accelerate entry into areas defined by our strategic intent. As previously discussed we recently announced the pending acquisition of certain engineering and construction assets from CB&I. In summary, we are very proud of our overall business performance in the first quarter of fiscal 2009. Despite the current uncertainty in the financial markets we have not experienced any significant direct or indirect impact on our business. Our balance sheet remains strong and we do not anticipate any modifications to our credit facility as the result of the unsettled credit markets. Further, we have not experienced a slow down in bid flow and we continue to pursue numerous opportunities. We believe our industry is as well-insulated as any but like everyone today we continue to monitor the upheaval in the credit and capital markets. We continue to lay the groundwork to expand our geographic reach, our customer base and markets and diversify our service and product offerings to achieve sustainable and profitable long-term growth and will continue to look for acquisition opportunities that will advance our strategy. Finally, as discussed previously the Matrix Services board has approved for us to continue to assess purchasing back shares on the open market when it is accretive to earnings. It is our strong belief that our current share price does not reflect the fundamental value and the long-term earnings prospects of our company. Now I’ll turn it over to Tom who will go through the financial details.
Thomas Long: The specific details of the first quarter fiscal 2009 results have been disclosed in our press release this morning so I would like to highlight certain items for the company in each of our operating segments. Total revenues for the first quarter were $186.7 million, up 15.7% compared to the first quarter of fiscal 2008. Net income for the first quarter of fiscal 2009 was $9.5 million or $0.36 per fully diluted share compared to $6.3 million or $0.23 per fully diluted share for the same period in fiscal 2008. Looking at the segments, construction services revenues for the first quarter of fiscal 2009 were $114.8 million, an increase of $16 million or 16.2% compared to the same period a year earlier. The increase in construction services revenues is primarily due to the continued strong demand for our AST services which increased 41.5% to $55.9 million during this quarter compared to $39.5 million in the first quarter of 2008. We also saw improvement in the electrical and instrumentation which increased by $9.3 million to $11.5 million during the quarter compared to $2.2 million during the first quarter of 2008. Our downstream petroleum revenue increased by 14.6% to $38.5 million compared to $33.6 million in the same quarter of 2008. These increases were partially offset by lower specialty revenues which decreased $14.7 million due to the completion of the tanks on our Gulf Coast LNG project. Looking at the repair and maintenance services segment it likewise performed very well during this quarter as revenues were $71.9 million in the first quarter of fiscal 2009 versus $62.5 million during the same quarter of fiscal 2008. The improvement was primarily due to continued demand in the AST repair and maintenance which increased 15.4% to $47.9 million during the first quarter compared to $41.5 million in the same quarter of fiscal 2008 and also by higher demand for our downstream petroleum services which increased 21.1% to $21.2 million versus $17.5 million in the same period a year earlier. SG&A expenses increased $4.1 million to $12.1 million in the first quarter of fiscal 2009 compared to $8 million in the same period last year due to the drivers that Mike previously discussed. For the first quarter of fiscal 2009 EBITDA increased to $17.7 million compared to $12.6 million for the same period last year. Our cash balance was $18.8 million at August 31, 2008. The company had no bank debt at the end of the first quarter fiscal 2009 and we do have $4.6 million of letters of credit outstanding. So basically we still have a little over $70 million of our five-year, $75 million credit facility outstanding at this time. As we mentioned in the press release we are maintaining our fiscal 2009 guidance at $800-850 million of consolidated revenues and earnings at $1.35 per fully diluted share to $1.60 per fully diluted share. SG&A we do expect still to be in 5.5-6% of revenue and capital expenditures we are still holding at $25 million. With that why don’t we go ahead and open it up for questions.
Operator: (Operator Instructions) The first question comes from Rich Wesolowski – Sidoti.
Rich Wesolowski - Sidoti: Mike I appreciate your comments earlier in your prepared remarks about how backlog is not a perfect indicator but there nonetheless seems to be a disconnect between the bullish comments on new work prospects and what is now a pretty persistent slide in the backlog during the past year. Do you agree that a rebound in backlog is necessary for you guys to hit that long standing 8-12% growth target, not so much in FY09 but in 2010 and beyond?
Michael Bradley: Well we expect our backlog to grow as we go forward and that is part of our organic growth plan. I would tell you a couple things. One, the group we just recently moved off the LNG project are now operating our Houston office and this is an area where we see some opportunities to significantly grow our business. They are up and running and we are starting to see plenty of opportunities to develop in that group. As I mentioned we recently added what I would call some specialty turnaround and maintenance capabilities in that area and so we are very excited about the opportunities we see there. The bottom line is the number of opportunities and prospects we are looking at today are stronger than they were during our call during the last quarter. Number two; they are prospects that cross a wider spectrum of the energy space we are focused on. Three, we continue…we have added significant resources to our business development efforts so that we can grow the backlog and the organic earnings per share growth for this company going forward. No question about it. We do plan to build top line growth as we go forward. I will tell you as I said before, towards the end of last year we cleaned up the LNG project and we are looking at prospects that generate good profitability for this company and we are excited about what we see going forward.
Rich Wesolowski - Sidoti: On the $1 billion prospect list can you clarify what types of projects you include in there? Is it mostly tank work? Is it mostly construction versus maintenance and repair? Because I look at your mid-point guidance of $825 million and the $1 billion suddenly doesn’t look like a humongous number.
Michael Bradley: First of all it is well above $1 billion. Number two, it includes repair and maintenance as well as capital construction. Three, when you look at the AST business I would say it is probably around 25% to 30% of those prospects. The types of projects we are looking at today include, as I mentioned, the ENI substation work which we see a lot of opportunity, simple cycle generation, material handling facilities, air quality control opportunities…so again we are starting to broaden the markets and the types of projects we are looking at. We are able to do that because of the skill sets that we have continued to bring into this company. So I am very pleased and I am excited about what we see going forward. As I talk about our plans to diversify our business we are focused on that. We continue to see good progress.
Rich Wesolowski - Sidoti: Finally, I’m hoping for just a little bit more detail including the aspects of the growth plan you outline. First is the turnaround business in the Gulf Coast and second the ENI business in the northeast corridor. Can you go through how many men you have added, what type of management you have added, if you have gotten any business so far and perhaps when these could become meaningful contributors to the company as a whole?
Michael Bradley: First of all let’s talk about our Gulf Coast. We recently added some very good talent to that operation. These individuals have an extensive amount of experience and a very strong reputation in the Gulf Coast markets. We are bidding on I would say opportunities well north of $200 million in that area alone. It takes some time to build the turnaround business but we are excited about what the team brings to us and we expect that business to grow. So those are individuals we have got on the ground. Typically like a lot of construction business the leadership brings crews with them. So that is what we are focused on in the Gulf Coast turnaround business. In terms of the ENI business what I can tell you is I mentioned we have brought in a gentleman late last year to head up our union business from Washington Group with extensive experience in power, electrical instrumentation. He has brought in gentlemen that have extensive experience in that area as well as material handling and other power type projects. As you can see, our construction business in the ENI portion increased significantly over the comparable quarter of Q1 2008 and as I stated a year ago my goal was to change the strategy of our ENI business and that is something we have been working on and we are starting to see some excellent success. One other gentleman we brought in was the COO. This gentleman has 36 years experience across power, ENI and really the whole energy spectrum. So we are excited about the talent base. It takes some times to build the process and the business development but I like what we see and we are excited about it.
Operator: The next question comes from Matt Duncan – Stephens Inc.
Matt Duncan – Stephens Inc.: I have a few questions here. First of all Mike you touched on the impact of the hurricanes and essentially there might be a little bit of slippage in project work which obviously would be made up in later quarters but you may pick up an increase in repair and maintenance work to sort of offset whatever slippage you might have in the project side. Would I be correct in saying that emergency callout repair and maintenance work comes at a higher margin and therefore the same revenue level could potentially come at a higher earnings level because of that?
Michael Bradley: I think in general Matt the emergency work tends to be higher margin. As I stated, right now we expect no significant impact one way or the other to our overall business.
Matt Duncan – Stephens Inc.: Looking at where the stock is sort of unexpectedly sitting right now given you had a strong quarter would it be safe to assume you guys would be interested in buying back stock at these levels?
Michael Bradley: As I stated in my closing remarks we think our stock price is significantly undervalued. The board has approved our ability to assess purchasing stock which we will continue to do. We also look at other sources or uses of funds in terms of acquisitions so that is something we will continue to weigh. I will tell you that we believe our stock is strongly undervalued right now.
Matt Duncan – Stephens Inc.: A few more things here. What are you hearing from your customers right now with regard to turnarounds in the wake of Ike? Are there any turnarounds that were sort of on the drawing board that maybe got pushed back because of Ike taking so much capacity offline or are you still expecting this November quarter to be a very strong turnaround quarter for you?
Michael Bradley: First of all, our traditional turnaround business did not include much of the Gulf Coast. Historically we have not done a lot of Gulf Coast turnaround so that really doesn’t impact us in terms of the forecast we put out. Second, as I mentioned in the questions earlier we have recently added Gulf Coast turnaround capability and that is a market that we look to penetrate and add to our business and we feel very good about the prospects there.
Matt Duncan – Stephens Inc.: Lastly, a question on the acquisition of the CB&I assets and technology. Would be safe in assuming that acquisition was about a lot more than just LNG and LIN/LOX and those engineers you are adding will in the future be engineering more than maybe what they are today?
Michael Bradley: What I can say is that the engineering talent included in the acquisition has extensive experience in cryogenics and LNG. Obviously when I talk about the engineering capabilities I mentioned civil, electrical and mechanical and process. The capabilities of that group definitely have a broad spectrum but again their focus recently has been on cryogenic facilities associated with LNG, LPG, Lin/Lox, etc.
Operator: The next question comes from Michael Harrison – First Analysis Corp.
Michael Harrison – First Analysis Corp.: I was wondering if you could give some details about these additional investments that increased your SG&A costs this quarter. Maybe a rough break down of how those investments were divided between the two segments and maybe roughly what portion were related to personnel versus infrastructure-type costs?
Michael Bradley: I can tell you compared to the year-ago quarter we have added somewhere in the range of 50 technical and professional staff to this organization which are very critical to our ability to grow this company and expand our capabilities. We have added extended offices to accommodate our growing staff and we have continued to invest in the systems, as I mentioned. We are investing in safety, in better estimating and project control systems to add, again, more sophistication to our business.
Michael Harrison – First Analysis Corp.: In terms of the magnitude of these investments do you think you will be maintaining this level throughout the year or should we see a decline or maybe even an increase as the year goes on?
Thomas Long: As far as the guidance, we have given that 5.5-6% of revenues and we do feel good in answer to your question that is kind of a level that we will expect.
Michael Harrison – First Analysis Corp.: Speaking of the guidance, in terms of the performance this quarter relative to your EPS guidance I’m not sure how the $0.36 you reported here compared to your expectations but would it be reasonable to believe that you’re more confident now you can be aiming toward the $1.60 end of that guidance range now?
Thomas Long: This is the first quarter that we got through. I guess we still feel like as we have looked at this guidance and staying within that we specifically decided to maintain this at this time in the year, the fiscal year.
Michael Bradley : I can tell you, as I stated, we like what we see through the rest of the year but we have made a little change in our post-guidance this year compared to previous years as we typically gave gross margins and revenues and traditionally matrices that and updated it every quarter. We are sticking with our guidance and we like what we see going forward.
Michael Harrison – First Analysis Corp.: You described the strong construction services gross margin as being related to better fixed-cost absorption. I’m wondering how close you feel you are to the sweet spot in terms of revenues compared to your current level of fixed-costs?
Thomas Long: I’m thinking about this one just for a moment here. Trying to make sure we don’t step outside the guidance here also. I think we are comfortable with our fixed-cost structure as it relates to our ongoing business and what we expect so we don’t see any issue there.
Michael Harrison – First Analysis Corp.: Would you say you don’t need to add too many resources to continue on the gross trajectory you are anticipating in that segment?
Michael Bradley: What I would tell you is this. We stepped up our resources to support our growth. As I have said in earlier calls, our G&A rate today is high but we needed to get these people in place and infrastructure in place to facilitate our growth. So, I think better before bigger. We’re doing that. We’ve got the resources in place today to grow this company.
Operator: The next question comes from Martin Malloy – Johnson Rice & Company.
Martin Malloy – Johnson Rice & Company: You spoke a little bit about moving and doing more work in the substation area. Could you talk a little bit more about that? Are you going to be working directly for utility companies or as a subcontractor to other [ENC] companies and will this be new transmission distribution project?
Michael Bradley: In terms of who we work for it is both. Both owners as well as a subcontractor. I would say that in terms of our subcontractors we are teaming up with A&E firms and OEM partners as well in this area. This is a market that we see as being strong over the next several years driven primarily because of the congestion in the infrastructure in the northeast and mid-Atlantic states so we see plenty of opportunities. This is a capability we have added to this company and continue to focus on growing.
Martin Malloy – Johnson Rice & Company: Are there other opportunities in the power generation area you are looking to move into? Or do you see opportunities out there for acquisitions?
Michael Bradley: I would say number one we see both. We are looking at simple [inaudible] gas turbines as one element. We have been involved in stack liners, material handling systems. We are in the process of getting our “N” stamp to be in a position to participate in the nuclear business. So there are several opportunities we see relative to the power side of the business.
Operator: The next question comes from John Rogers – D.A. Davidson & Co.
John Rogers – D.A. Davidson & Co. : Two things, first of all and I apologize if I missed it, backlog broken out between construction and repair and maintenance?
Thomas Long: Yes we do. It is $300 million on the construction million and $159 million on the repair and maintenance segment.
John Rogers – D.A. Davidson & Co. : Secondly, you touched on the credit markets a little and the dislocation and how you weren’t seeing any impact on your business. Do you get the sense some of your smaller competitors are seeing any issues or what are you hearing back from customers?
Michael Bradley: Right now we are not seeing much of anything at this point. We continue to get awarded projects and continue to proceed forward. We are seeing a lot of bid activity so I would say that today we are not seeing or hearing much. But again, we all know people in the credit markets and capital markets are creating question marks across our general economy but we are not seeing anything today and we are not hearing anything about some of our smaller competitors.
John Rogers – D.A. Davidson & Co. : No change in the way requests for bids are coming or documentation or anything else changing there?
Michael Bradley: Not at this point. No.
Operator: The next question is a follow-up question from Matt Duncan – Stephens Inc.
Matt Duncan – Stephens Inc.: Just a couple of questions on acquisitions. You are sitting on $70 million borrowing capacity and clearly you have an appetite for acquisitions. I’m wondering if maybe you can kind of flush out your strategy there and sort of what are some of the more interesting targets for you in terms of end-markets or technologies or just talk about how you rank the way you look at the acquisition landscape right now. What is most important to you with acquisitions?
Michael Bradley: Well, I think we start with our core capabilities and focus on potential acquisitions or tuck-in acquisitions that really strengthen that. I think the CB&I acquisition is an excellent tip of that. So we are very pleased to be able to move forward on that one. I think when you look at the kind of markets that we see as a good strategic fit for Matrix and fits in with how we want to extend our business, one is geography in our current business and looking for opportunities that can expand that. Two is to broaden our service chain. As an example in engineering. Three is in terms of the energy space we are very strong in downstream petroleum. We are building and would like to see more opportunities in the power. We don’t have much exposure to natural gas. We think natural gas has some opportunities as well. Really focusing more on a company that can provide a total solution for our customers.
Matt Duncan – Stephens Inc.: Mike, you talk about international opportunity for you guys. How do you think about the international market and are there certain geographies internationally that are more interesting to you and sort of what is your strategy for how you take Matrix across the ocean?
Michael Bradley: I would say our first strategy is to link up with some of our key clients and that we go with our key clients. We have had discussions with clients that are interested in teaming up with Matrix to do work internationally. Some of the opportunities we are looking at today include engineering and fabrication and eventually we could get into construction opportunities. But we are not going to go hang up a sign somewhere in some country but we have clients that are working with us today and they have an interest and we have an interest and we are proceeding down that path.
Matt Duncan – Stephens Inc.: One last thing, I know in the past you have had a strategy of not announcing a contract unless it is 5% of guidance. Is that still kind of the way you are thinking?
Michael Bradley: Yes that is correct.
Matt Duncan – Stephens Inc.: Should we be looking for you guys to make announcements? Are you after a project that would cross over that threshold is maybe a better way of thinking about it?
Michael Bradley: Let me answer the second part. Yes we are looking at projects in excess of that threshold. What I will tell you is that we have in our niche market on the contract side we focus on, particularly in some of the new areas that we are expanding into; they are going to be under the threshold type projects. One, these are projects we feel we can execute very well and have the capabilities to deliver a good, quality project and service to our customers. But there are projects that we look at today and are looking at that are in excess of that threshold and some of those include projects other than tanks.
Operator: The next question comes from Tahira Afzal – Keybanc Capital Markets.
Tahira Afzal – Keybanc Capital Markets : I just wanted to ask you about the prospects you pointed out. You mentioned 25-30% of the prospects as being related to AST tanks. Could you touch on what are the clients over there you are seeing? Are they similar clients to what you have had in the past? Perhaps Tom given your background on the MLP side as well perhaps you both can highlight what you are seeing in your areas in terms of what the clients are saying, which areas you think are more in the risk if there is a financial credit crisis that continues for several months?
Michael Bradley: Let me take this one step at a time here. First, in terms of a client what I have said earlier and I think it is important to mention is there are many similar clients but there are many new clients not only as prospects but clients that we are contracting business with. Part of our strategy is to broaden our client base as well and that is a focus and we continue to do that. We want to build a portfolio of business that is less concentrated in any one particular customer. Now there may be project awards from time to time that create a concentration but our general focus right now is to spread that out and spread the risk. In terms of the MLP space, I can’t comment specifically on any of our clients. I think again what we are seeing is continued activity with the clients we have served in the past but again our focus, and this doesn’t have to do with credit markets or anything it is just more along the lines of broadening our customer base across a wider spectrum of energy-type projects.
Tahira Afzal – Keybanc Capital Markets : Going back to your buyback, would it be possible to get an idea of the size we are looking at right now? What is the flexibility in terms of deciding that if you really wanted to?
Michael Bradley: What we have authorized today is in the range of 600,000 shares. Again, Tahira, I want to say buying back shares is one mechanism but we also are looking at other investments as well. So if we look at what is accretive, obviously our share price is way undervalued and it is something we have to look at.
Tahira Afzal – Keybanc Capital Markets : One last question, if you are looking at your AST base and the work, would it be fair to say that the work in cushing seems largely done on the new tank construction side and the opportunities you are essentially seeing there on the new tank construction side are more geared to import terminals, etc. or are there any other factors you would like to highlight there?
Michael Bradley: I would say when you look at our AST new construction revenues in Q1 of fiscal 2009 compared to Q1 of fiscal 2008 the revenues are spread out across a broader cross-section of the country. So number two I don’t think cushing is done. I think the [then] group bankruptcy is creating a disruption in that particular area but I sure don’t see cushing as being done. We are seeing AST opportunities across a broader geography.
Operator: The next question is a follow-up question from Rich Wesolowski – Sidoti.
Rich Wesolowski - Sidoti: Mike, compared to 6-12 months ago is it any easier or more difficult to hire field labor or project managers?
Michael Bradley: I think it has been a challenging market all along but again, like I said, we have been successful in adding the professionals and technical talent in this organization we need to grow and the crews to go along with it. It is a zero sum game in this space today as you know but when you look at our capabilities and talent, as I mentioned we have been successful in bringing those into Matrix. I won’t say it is an easy market but we have been successful.
Rich Wesolowski - Sidoti: Your business both in the backlog and in the profit shifting gradually towards repair and maintenance, looking out 2-3 years would you expect that segment to be a meaningfully higher share of profit than it is today?
Michael Bradley: Which segment? Repair and maintenance?
Rich Wesolowski - Sidoti: Right.
Michael Bradley: We want to grow our repair and maintenance services as well as our construction services. It is a good business and it is a model that we want to maintain. I would say it is hard to say over the next 3-5 years but today we are about 40% repair and maintenance, 60% capital and I would say that 30-40% range would be a good range to be in.
Rich Wesolowski - Sidoti: Finally your situation appears to be similar to other contractors in the broad downstream sector with the results and commentary are clearly bullish for the stocks have been creamed by far greater extent than the broad market. I want to be sure there is nothing I’m missing here. Can you review maybe the under-the-radar items you would normally review to see whether or not there is a broad change coming in market demand for your services especially in the refinery states and the AST states?
Michael Bradley: I can tell you we spend a lot of time talking with our clients about their forward plans to give us a comfort level and we have been doing a lot of that not just recently but over the past year so we can get an indication of the outlook. We are still comfortable with that. The other part of it is to broaden our services beyond downstream petroleum. It is going to take some time to do that but we are making progress in that direction and we brought in people in this organization that are familiar with that. That is just part of our overall strategy. We haven’t seen any indications that cause us concern. So we are plowing forward.
Operator: The next question comes from Ross Taylor – Chaucer Capital.
Ross Taylor – Chaucer Capital: Gentlemen can you give us a little bit more color on the prospects of the power area? It is a new space for you guys. It is geographically up here in the northeast largely and I’m trying to get a better understanding for what the size of that is, what the profitability of it is, what the competitive environment is.
Michael Bradley: Well, the area that we are focusing on in particular right now is in the mid-Atlantic and northeast part of the country. I talked about simple cycle turbines. I talked about high voltage substation work. We have a strong union presence in the mid-Atlantic and northeast part of the country. We have a lot of power experience now in that part of the country. So we feel pretty good about the prospects. I talked about the material handling systems with stack liners and there is a lot of other air quality retrofits so there is really kind of a broad range of projects that we are now looking at that a year ago were not on our radar screen.
Ross Taylor – Chaucer Capital: I’m trying to get an idea of the size of this market you are looking at. How long does it take you to penetrate? How long does it take to become a meaningful portion of the business?
Michael Bradley: I would say in terms of the size of the market when you look at the TND span forecast for this country I don’t know how many billions of dollars are out there but it is sizeable. There is a lot of infrastructure that has to be upgraded and replaced, a lot of congestion in the mid-Atlantic and northeast as a very, very strong year. In our market probably around $500 million per year just in our market for the types of activities we are focused on. We see it as a very significant market. We are continuing to work on growing that side of the business and we may even look at acquisitions as well to help facilitate and accelerate our position in the power market.
Ross Taylor – Chaucer Capital: Could you talk a little bit about the competitive environment in this space? Who do you compete against? Are they national players or regional players?
Michael Bradley: I would say in our market we traditionally compete with regional players. Project size can be in the $10-25 million range for the types of projects we are looking at. Some smaller, but we have and we are teaming up with A&E firms on some larger projects so again this is just part of our strategy here to diversify our business. I would expect to see growth in this every year for the next several years.
Ross Taylor – Chaucer Capital: How much of the $1 billion plus when you are talking about new business prospects are from this area?
Michael Bradley: I’m going to re-emphasize my term, well north of $1 billion, well north of $1 billion. I would say 25-30% or greater.
Ross Taylor – Chaucer Capital: North of $2 billion?
Michael Bradley: Well north of $1 billion. You can take it as high as you want it.
Ross Taylor – Chaucer Capital: I would, for some of the comments on the idea with stock trading down I think this is the lowest you have traded in years with the lowest $13-14 level you now understand the great opportunities you guys are seeing but not the least of which the stock is trading at probably under ten times what you earned this year it certainly warrants very strong review to not only exercise the buyback but likely increase the buyback as well.
Operator: The last question is a follow-up from Tahira Afzal – Keybanc Capital Markets.
Tahira Afzal – Keybanc Capital Markets : Gentlemen I just have one follow-up question. If you look back at the last cycle for [ENC] in 2000 and 2001 and after that how much visibility or how much time lapsed between the cycles in the market or the general economy turning and some of the prospects falling out? In other words if you look at your visibility within that $1 billion plus pipeline I’m just trying to get a sense of how much of that is something you can rely on versus the visibility you typically had in prior cycles.
Michael Bradley: I wasn’t here in 2001 but in 2001 Matrix was primarily above-ground storage tanks. So number one we are much broader in our capabilities both in tanks, repair and maintenance and construction and across a broader spectrum of energy-type projects. So I think that is a good thing. Number two, when I look at this country and the issues we face from an energy perspective it tells me a lot has to get done in the next several years to better position this country to wean itself off petroleum and increase its access to other forms of energy, natural gas, solar, wind and that all takes infrastructure across the spectrum whether it is electrical instrumentation, fabrication, engineering or capital construction. When I look out over the next several years I continue to be very bullish on what has to be I think a very strong effort to rebuild the infrastructure of this country. So I’m still bullish long-term and part of our plan is to position Matrix so that we can participate across a broader spectrum of energy so we are not tied to a single market like historically we have been much more dependent on above-ground storage.
Tahira Afzal – Keybanc Capital Markets : Do you expect or anticipate any transitional issues as you transition into this diversification given that the market seems to be turning?
Michael Bradley: I’m sorry? Transition issues?
Tahira Afzal – Keybanc Capital Markets : As you diversify and assuming that some of your core markets end up going down at some point, if you do see the energy side more downstream side going down to some extent do you expect that the slowdown is something you have anticipated and built into your plans and do you think there could be a possible dislocation as the slow down in your core markets or what one could consider your core markets like the AST tanks and being more magnified than what you expect right now?
Michael Bradley: Well, near term we don’t see any slow down. So obviously we know various parts of the industry cycles and that is part of what we are trying to accomplish with our strategy is to lessen our exposure across any single product line or industry and broaden that so we can participate in the growth markets that are out there as other markets ebb and flow. But I think today part of what we really built a strong team and capability around our AST business and that capability is engineer, operations, it is the whole total solution and really these capabilities transition into other industries very well whether it be industrial gas, power, so that is part of how we are trying to build this organization so we can easily transition as these markets pick up.
Tahira Afzal – Keybanc Capital Markets : It seems like would it be fair to say that we should expect your story to be one of market share gain in a sense and even if markets are slowing down to some extent you feel you have enough leverage right now through your capabilities to gain market share?
Michael Bradley: I would look at it as yes, but I think there are markets that are growing and we want a piece of that pie.
Operator: There are no further questions in the queue.
Truc Nguyen: Thank you all very much for participating on this call. Have a good day.